Operator: Good morning, ladies and gentlemen. Welcome to our results call for Q1 2018, which is the first under the new revenue standard IFRS 15. Reiner Winkler, CEO, will kick off with some latest business highlights and financial key figures. Peter Kameritsch, our CFO, will give some more color on our OEM and MRO business segments. After Reiner will present our latest guidance, we will have a lot of time for answering your questions.
Reiner Winkler: Thank you, Michael and welcome also from my side. Let me start with some business highlights of the first quarter 2018. The key market indicators of the aviation industry remain to be in a good shape. The passenger traffic increased by roughly 6%, load factor for the industry remained high at 80% and all the park rates and retirement rates are still on historically low levels. These market indicators keep us confident that the positive momentum will continue in the course of 2018. Dassault Aviation choose the PW800 engine to power the new Falcon 6X. With this selection, MTU expands its footprint in the business jet markets. So far the engine was selected for the two new Gulfstream Aviation aircrafts. In mid-March, the GE9X took off for its first flight test. As you know, the turbines and the frame for this engine is produced in our Polish facility. MTU Polska is a true success story and we have just initiated the second site expansion. This marks the next milestone in our OEM ramp-up. Close by, we will build the most advanced maintenance facility in the aerospace industry together with Lufthansa Technik called Engine Maintenance Europe. Good news also from our military business segment, GE has launched the production of its T408 engine powering the Sikorsky heavy lift helicopters. As you know, MTU has a program share of 18% and is responsible for the power turbine. Furthermore, the U.K. government has signed a Memorandum of Intent with Saudi Arabia to sell 48 Eurofighter aircrafts. This potential order by Saudi Arabia is not yet included in our order book. As of this quarter, as Michael mentioned, we applied the new revenue standard IFRS 15 and Peter will give you some more color on our Q1 financial later on. And last but not least, during the Annual General Meeting in April, our shareholders voted in favor of a dividend of EUR2.3 per share for 2017. This equals to the increase of 21% and the dividend was paid mid-April. I will now give you an update on the GTF. Actually in total, 141 GTF powered aircrafts were delivered with 21 operators worldwide. The engine fleet has operated more than 700,000 engine flight hours with more than 200 flights per day. The aircraft flew to 330 destinations across the four continents. And so far, the GTF has saved 30 million gallons of fuel and 320,000 tons of carbon emissions. Further, let me revise the configuration for the HPC knife edge seal and we resumed engine deliveries in late February. We see ourselves on track to achieve our delivery target to double the GTF production this year. We are also happy to report the delivery of the first Embraer E2 Jet, powered the Geared Turbofan Engines to its launch customer Wideroe. The aircraft entered into service last week. The E2 Jet represents the third powered GTF application now in service. As you know, MTU has a program share of 70% in this program. The follow-up order by JetBlue to power additional 45 A320neo family across with Pratt & Whitney engines was an excellent news. With this additional order, JetBlue has now committed to 85 GTF powered aircrafts and the total 9,000 orders for GTF engine equals to seven years in production. Let's now have a look on the key financials. Our revenues increased by 5% to more than EUR1 billion, again supported by strong aftermarket business. If we assume a flat U.S. dollar rate, revenues would have grown by roughly 20%. Group EBIT increased by 11% to EUR175 million resulting in a margin of 17%. And the net income increased by 10% to EUR123 million, resulting in earnings per share of EUR2.39. The free cash flow of EUR83 million showed an increase by 37% compared to last year. And as you can see in the appendix of the presentation, the total group order book increased by 3% to more than EUR15 billion. Let me now hand over to Peter for more details with regard segment numbers.
Peter Kameritsch: Thank you Reiner and hello also from my side. Let me give you an overview of our segment numbers starting with OEM. As you are all aware, IFRS 15 significantly impacted our OEM revenues. As a reminder, the biggest change comes from the treatment of payments to customers, for example, sales concessions, which are no longer booked as cost of sales, but directly reduce our commercial OEM revenue line. On the IR website, you will find the restated quarterly 2017 numbers. Please note that the full year 2017 IFRS 15 estimates has been updated slightly, especially the revenue line. For more detailed questions, please do not hesitate to contact our IR team. OEM revenues increased by 6% to EUR427 million. Commercial revenues increased by 11% to EUR336 million. And within that, organic new engine sales were up by a low to mid-single digit number. Lower V25 sales got compensated by higher business jet sales. Organic spare parts revenues increased by a high single-digit percentage number. Main drivers here were as in the last quarters V25, CF6 and PW2000. Military business revenues were down by 10% to EUR91 million, mainly due to lower shipments of TP400 engines. EBIT adjusted increased by 17% to EUR123 million, resulting in a margin of roughly 29%, mainly due to the above mentioned business mix effects and a slight tailwind from the achieved FX rate. So now, let's switch to the commercial MRO business. Here we have no impact from IFRS 15. Reported revenues in the MRO increased by 5% to EUR618 million. Organically, based on the flat FX, revenues were up by 20%. Drivers here were GTF retrofit shop visits as indicated already on our Capital Markets Day and an ongoing strong demand for V25, CF34, CFM56 and CF6-80 shop visits. EBIT adjusted was flat at EUR52 million, resulting in an EBIT margin of 8.3%, mainly due to a lower profit contribution of MTU Zhuhai in this specific quarter. So now, let me hand back Reiner for the guidance to 2018.
Reiner Winkler: Yes. Thank you Peter. This is a good start into 2018, which strongly support our guidance for 2018, which is military revenues are expected to remain stable at around EUR400 million, new engine sales should be up by about 30% organically, mainly driven by the doubling of the GTF production. Spare parts sales with mid-single-digit and commercial MRO business is expected to grow strongly in the high teens. We expect our group revenues in Europe to be around EUR4 billion post IFRS 15 assuming in U.S. dollar exchange rate in the range of $1.20 on average. Based on the above mentioned business effects, we expect a moderate growth in the EBIT adjusted under IFRS 15. That means an EBIT in the range of EUR600 million to EUR620 million. Net income should grow in line with EBIT adjusted and for the free cash flow, we expect the cash conversion rate in the range of 40% to 50%. So thank you very much for your attention and we are now ready to answer your questions.
Operator: [Operator Instructions]. Our first question, Christian Laughlin from Bernstein. You may ask your question now.
Christian Laughlin: Yes. Good morning gentlemen. Thank you. Just one question on the aftermarket. With respect to how you see the differing growth dynamics across V2500 and versus say CF-6 and PW2000? And then if you are seeing any changes in the scope of work trends that airlines are pursuing? Thanks.
Peter Kameritsch: Yes. Hi Christian, Peter here. So starting on the V25, I mean we expect for the full year 2018 more than 1,000 shop visits on the V25 and as already you could see comment]ed several days ago, we see also increased scope in the V25 aftermarket. But that is based on the fleet age. We have V2500 fleet being eight to nine year-old. So we see a lot of second shop visits. So that raises obviously aftermarket dynamics here on the V2. For Q1, that means we are up mid-teens here. So it's more or less the same pattern as in the last quarters in 2017. And CF6-80 and PW2000 were also slightly up in Q1. So that strongly supports our aftermarket guidance here. I mean we have been growing our floor high-single digit in Q1. For the full year, we still expect mid-single-digit here.
Christian Laughlin: Okay. Thanks.
Peter Kameritsch: Welcome.
Operator: Thank you. Next question comes from Romain Gourvil from Bank of America Merrill Lynch. May we have your question now?
Romain Gourvil: Thanks. Yes. Hi everyone. Romain Gourvil from Bank of America. I have got one question. I just wanted to have your view around rate increase already pushed by OEM that demand rates to increase? So which kind of investment and timing is required at your level? Thank you.
Reiner Winkler: I mean, first of all we have to mention that we have seen already increases in the production rate in a couple of years based on the high demand and MTU's focus is clearly on the already agreed steep ramp-up of the GTF production. Within that ramp up, the management of the supply chain is one of our biggest challenges, by far. We have proven our capability to increase production volumes by achieving our original guidance of 350 to 400 GTFs last year and we target to reach about more than 1,000 GTFs produced by 2020. And to be honest, any further production rate increases needs really to be discussed in detail and carefully considered between the parties involved and it's actually too early to, let's say, to quantify, which investment would be necessary for that. It's definitely too early. We now have to focus really on the management of the supply chain for the existing production rates.
Romain Gourvil: Yes. Thank you.
Operator: Thank you. Chloe Lemarie from Exane. May we have your question please?
Chloe Lemarie: Yes. Good morning everyone. I have two, if I may. The first one was on the DTF, in terms of deliveries. Could you provide some color on the share of production that was diverted to retrofit versus new aircrafts in Q1? And the second one, a technical question on IFRS 15 impact. I have seen that you provided a restatement for 2017. I was wondering in terms of the phasing on the EBIT. What was the big negative impact in Q2 2017? And how should we think of that phasing for 2018? And it seems that the total sales impact was slightly higher lower than what you disclosed in your Annual Report. So could you explain what actually surprised you in that implementation? Thank you.
Reiner Winkler: Yes. On the GTF deliveries, I think we can not say more as UTC said on their earnings call and I think we delivered slightly more GTF engines in Q1 2018 versus Q1 2017, but we don't give more details. I mean we are still committed to doubling GTF deliveries for the full year 2018 versus 2017. On IFRS 15, I think we indicated already on our Capital Markets Day in December that the major negative impact on earnings comes from FX revaluation of receivables, which are created under IFRS due to deliveries into the consignment store. And that is the big negative you see in Q2 2017 on the restated number. And the major part of that happens in 2017, because FX rate moved quite steeply in Q2 2017. Regarding sales impact, the revised estimate for the revenue, that is an impact of our FX revaluation of receivables and liabilities has not to be booked in cost of goods sold, but go directly to the revenue line. So that is just a switch between cost of goods sold and revenues. So that was the result of an intense discussion with also the auditors here. But if you want to have more details, please feel free to contact our IR team.
Chloe Lemarie: All right. Thank you very much..
Reiner Winkler: Welcome.
Operator: Thank you. And Norbert Kretlow from Commerzbank, may we have your question please?
Norbert Kretlow: Good morning ladies and gentlemen. A question on the aftermarket, if I may. It looks like the aftermarket was pretty strong in Q1. When I look at the spare sales up high-single-digit versus the guidance was reiterated for mid-single-digit growth for the full year. My question would be, first, has there been any particular tailwind in Q1 which has boosted the aftermarket stronger than you would have originally expected, which might phase out during the remainder of the year? And the second question would be, from your perspective, what is the major driver of this aftermarket growth? I mean is this the currently high utilization in order entrance? You mentioned low park rates, which from my perspective is something which does not look really sustainable going forwards, at least in 2019 given increased oil prices and also given the declining overall macro momentum? Or is it basically rather the fleet age, which is the major driver? Maybe you can break it down, as sort of gap filling and percentage?
Peter Kameritsch: I mean, as I said before, on Christian's question, I mean the V25 is more structural thing. I mean narrowbody still haven't utilized to see virtually no park rate in the A320 classic fleet also and you have the fleet between eight and nine years of age and you get more and more a second shop visits obviously with higher material content in these shop visits and that drives aftermarket business upwards. In addition, we see as the higher number of shop visits. So content per shop visit and the higher number per shop visit. I mean that is nothing, which really is depending on oil prices or something like that. On the CF6-80 and PW2000, it's a different story. Currently we see utility demand not only in the spare parts business, but also on the MRO side of the business, a quite significant demand for shop visits for older widebody aircrafts. It is certainly driven by the lower oil price environment, which we saw already in 2017. So how long that will continue, I couldn't guess that right now. But as I said, I mean Q1 2018 was still strong on the older fleet and you follow that development and look on that on a quarterly basis. But definitely we are better compared to our guidance.
Norbert Kretlow: Yes. And so overall, it would be fair to assume that the larger part of the strong aftermarket growth is driven structurally then by the --
Peter Kameritsch: Right, from the V2500, yes.
Norbert Kretlow: Great. Thanks.
Operator: Thank you. Malini Chauhan from JPMorgan, please go ahead. Amy we have your question?
Malini Chauhan: Good morning everyone. Just one quick question from me. I am just wondering and I am sorry if I missed this earlier on the call, but could you provide some color around the business mix effects within the OEM division?
Peter Kameritsch: I mean, as we always say, we see what we see as a strong aftermarket, very strong aftermarket, high-single-digit growth and obviously less negative engine margin in the first quarter because we didn't deliver as many GTFs as compared to our expectations for a very good business mix in the commercial part. But part of that will revert back over the next quarters, when the GTF deliveries will be more back-end loaded in this year and there we are going to see more negative engine margin. So we won't stay at 17% EBIT margin for the full year. I mean, as Reiner indicated, for the full year of EUR4 billion revenue, between EUR600 million to EUR620 million EBIT adjusted, that means for the full year 15%. Based on the better business mix in Q1, we are at 17% and part of that will revert back in the following quarters.
Malini Chauhan: Great. Thank you.
Operator: Andrew Humphrey from Morgan Stanley, may we have your question please.
Andrew Humphrey: Hello. Thanks for taking my questions. Just a couple. On Zhuhai, you mentioned that being a factor behind lower margin year-on-year in the maintenance business. Could you maybe talk us through in a bit more detail, the margin bridge this year versus last year? How much was Zhuhai? How much was having to do more retrofit shop visits? How much was other factors? And also whether that Zhuhai issue is permanent? Or what specific is underlying that? And then -- sorry, go ahead.
Reiner Winkler: I mean on the MRO, I mean last year we were at 8.5% margin for the full year 2017 and we expect 8.5% margin roughly also in 2018. So Q1 2017 was a bit stronger compared to the average margin. Q1 2018 is bit weaker, so there's nothing particular behind that. One particular item is too high. So we had in Q1 2018 a temporally unfavorable product and customer mix, combined with FX effect. So There is a quite complex FX impact between Chinese Renminbi, dollar and euros. And that impacts also on the EBIT portion we take into our accounts. And in Q1 2017 it was slightly positive and in Q1 2018 it was slightly negative. So if you compare quarter-by-quarter, you have something like a rough EUR3 million negative impact. But that will revert back over the next three quarters. So only a quarterly effect.
Andrew Humphrey: Thank you. And maybe one more on shop visits. I wanted to ask about GTF versus V25 and whether you are seeing a change in terms of customer appetite on the scope of shop visits, i.e., the balance between flying out payments under those long-term agreements and the customer's willingness to take on, I guess risk on the less limited parts consumptions during shop visits. So just kind of a general question around whether the terms of the current LTSAs are significantly different from, say, a typical V25 service agreement?
Peter Kameritsch: The shop visit we currently see are really, if you look at the shop visit in the MRO, I mean the shop visits we do on the PW1100 are pure warranty shop visits. So these are the kind of retrofit shop visits, where we exchange the old combustion chamber, old bearing number three. So that is not really a shop visit, where the customer pays for the shop visit.
Andrew Humphrey: I more mean kind of longer-term gains as a higher proportion of those GTFs under long-term service agreement?
Peter Kameritsch: Yes. They are more than on the V25 definitely. But if you take, let's say, the last couple of years on the V2500, then we see a similar pattern compared to the GTFs. So in the beginning of the V2500, let's say in the first 15, 20 years, they were more in time and material contracts, but in the last, I would say, five to 10 years they were also the trend already towards these powered by our contracts and that is continuing now in the GTF as well.
Andrew Humphrey: All right. okay. All right. Thanks very much.
Operator: Thank you. Milene Kerner from Deutsche Bank. May we have your question please?
Milene Kerner: Yes. Hello. Thank you for taking my question. Just a quick clarification on what we should expect for expense R&D under IFRS 15 for 2018? And what will be the quarterly saving of it please?
Peter Kameritsch: Well, I mean, look, for the whole company expensed R&D should go slightly up. Quarterly saving? Couldn't predict that.
Milene Kerner: Okay. Thank you. And maybe a just follow-up I mean. And for 2019, if I may?
Peter Kameritsch: I mean based on what we see today, I mean it should go, I mean as we indicate already on our Capital Markets Day that R&D spending will go down slightly in 2019 already.
Milene Kerner: Okay. Great. Thank you for this clarification.
Operator: Thank you. Andrew Gollan from Berenberg, may we have your question please?
Andrew Gollan: Hi. Yes. Thanks for taking my questions. I have got two. First one on commercial MRO. Could you scale the impact of the additional work you have gained on GTF retrofit work? So I guess, how much did it contribute to the 20% organic growth in the commercial maintenance division? And secondly, just one for interest rate. You often quote the backlog GTF engines. I think from the slide deck it was 9,000. But that does include options? Can you just give us the number that all firm, i.e. ex-options?
Reiner Winkler: I don't have the number available. Maybe we have to come back to you with that question. I mean if you look on the MRO business, so organically I mean, it's something like a high-single-digit growth coming from, if you take 20% growth in U.S. dollars then something like 7% to 8% comes from GTF warranty. I mean we indicated that already in our Capital Markets Day that half the growth in 2018 comes from warranty work on the GTF and the remainder from shop visits number, higher content per shop visit and so on.
Andrew Gollan: Okay. Great. Very clear. Thanks.
Operator: Thank you. Alexander Hauenstein from DZ Bank, please go ahead. May we have your question?
Alexander Hauenstein: Yes. Hello. Alex Hauenstein. Basically three questions, if I may. First of all, how much was the overall FX EBIT effect post hedging in Q1? And how much could we still model into come for Q2? Or maybe a better feeling here? So that would be the first one. And the second one would be on your guidance. I understand on commercial OE you are guiding for up to around 30% organic growth mainly driven by the GTF output increase in terms of deliveries. But in terms of sales including FX, how much would that be in terms of sales growth year-over-year, post IFRS 15? I mean would the number go down into the direction of 15% to 20%? Is that a correct assumption? And the same question for commercial spares regarding up mid-single-digit, would it turn to low single digits, if my interpretation is right? Thank you.
Peter Kameritsch: I mean on the FX hedging, I mean we had EUR0.02 roughly tailwind from the achieved rate. So we had 1.19 in Q1 2017 achieved for the blended rate between spot and hedge rate and 1.17 roughly in Q1 2018. So if you look on our sensitivity, it gives you something like a high single digit tailwind though on the EBIT, something like EUR10 million or something like that in absolute EBIT terms. So regarding spares I mean we have our guidance in place for mid-single digit growth for the whole portfolio. Q1 was better than expected and you are going to review that in the middle of 2018. We can not be sure how long the tailwind for widebodies will go on.
Reiner Winkler: If the trend continues as we saw in Q1, I mean, then we are sure we will revise it after Q2 and update in the guidance. So we do not really expect low single digit growth in some quarters, but as I said, if it's continuing then --
Peter Kameritsch: Some upward pressure.
Reiner Winkler: Yes.
Alexander Hauenstein: Okay on the spare. But for the commercial OE on the top lines in terms of sales, I mean looking at the lower restated number for 2017 post IFRS 15, if I would add the 30% that would be probably too much. So what would be the adjusted number here probably going forward?
Reiner Winkler: The EUR4 million, that remains valid. The EUR4 billion guidance in revenues. And for the full year, we expect a 30% increase still based on the GTF doubling of production volumes. So the growth will increase in the quarters to come.
Peter Kameritsch: Sure. I mean as I said it before, I mean the deliveries for the GTF in 2018 will be back-end loaded some more in the second half and that translates obviously to higher growth rates there.
Alexander Hauenstein: Yes. So if I calculate that back and take all the other points into consideration, then I come up with an OE sales growth year-over-year on restated numbers of about 18%. So this compares to the former guidance on the old numbers pre IFRS 15 on the 30%. Would that be the right way of thinking?
Peter Kameritsch: Yes. Alexander, in the revised IFRS 15 figures, there are a lot of different items to be booked through revenues. So it might be a little bit more complicated so it's just be schedule a follow-up call to go through the IFRS 15 effects again.
Alexander Hauenstein: Okay. Thanks.
Operator: Thank you. Zafar Khan from Societe Generale, may we have your question please?
Zafar Khan: Thank you. Good morning everyone. Just wanted a clarification on the Zhuhai MRO, you have kindly given us some numbers there. On the same currency basis, was Zhuhai flat or up because you mentioned the three --
Peter Kameritsch: I mentioned that it has a negative impact on customer and product mix, little bit amplified or combined with a negative FX effect. So we had both items were negative. So I mean it was EUR3 million negative overall and EUR2 million customer and product mix and EUR1 million roughly FX effect.
Zafar Khan: Thanks really helpful. Thank you. And the second one was just on the V2500, the new engine delivers. Can you just give us what your revised thinking on that is for, what was the Q1 unit sales compared with last year, for instance? And how you see that progression through this year and maybe in 2019?
Peter Kameritsch: I mean, the V2500, there is no revision to the shipments. I mean, last year there was something like 300 shipments. This year we expect something like 200 shipments. But there is the view we have on the V25 for several quarters. I mean the A320 Classic goes down and such. So V2500 has to follow that.
Zafar Khan: Yes. So you are looking for roundabout 200 shipments this year. Just in terms of the sort of year-on-year pricing, if you like? Because I know Airbus had to give fairly big discounts on the Classics and clearly you guys must be sharing in that. So is there a price deterioration year-on-year?
Reiner Winkler: No.
Peter Kameritsch: No change.
Reiner Winkler: No change. No.
Zafar Khan: Okay. Thank you very much.
Operator: Thank you. Christophe Menard from Kepler Cheuvreux, may we have your question please.
Christophe Menard: Yes. Good morning. I had two questions. The first one is on military. I wanted to understand your kind of mid-term guidance. It includes the revised quantities on A400M, I guess, but I just wanted to have confirmation. I mean the fact that Airbus is lowering its delivery targets on A400M. And also your guidance in military is not including the Saudi order. That's also for clarification. The second question is regarding the spare engines. Considering the difficulties in Q1 around geared turbofan, have you changed your assumption in the budget for spare engine deliveries in 2018? Or are they the same as the one you had in mind in December?
Peter Kameritsch: There is no change in regarding this issue. So no change compared to what we announced in December already. And regarding the military business, the potential Saudi order has no impact for this year. It's more in the beginning of next decade. And it's included in our long-term guidance, military business service, say, in the range between EUR400 million and EUR500 million of revenues and the impact from the reduced A400M deliveries is already included.
Christophe Menard: Okay. Thank you very much.
Peter Kameritsch: You are welcome.
Operator: Thank you. James Zaremba from Barclays, may we have your question please?
James Zaremba: Hi. Good morning. Yes. Three questions please. One was just, in terms of your CapEx, a large part of it was in financial assets, which I am guessing is to do with lease engines and things like that. Just wanted you to talk about, let's say, how much about is you are growing your leasing business versus how much of that is to do with growing maybe the spare parts on the GTF, et cetera? And how we are thinking about progresses over the next few years? And then the second one is just on working capital. That was very strong and part of that seems to be decrease in payables. If you could just comment on that? And then lastly, I misheard in terms of the new engine growth. Could you just remind me what that organic growth was in U.S. dollar terms? Thanks.
Peter Kameritsch: I mean, regarding investment into financial assets, we are at EUR259 million, which you see on the appendix and roughly, I would say roughly EUR40 million of that is our contribution into the leasing company, which has the leasing engines in it and the rest is our contribution to our new Lufthansa joint venture in Poland. Going forward that will be significantly lower in 2019.
James Zaremba: Is that on both parts, both the leasing company and the JV?
Peter Kameritsch: No. The leasing company, part of the investment into leasing company will happen this year. And for 2019 and 2020, we will see only small payments into the company. And our contribution in our Polish joint venture, the main part will be more in 2019 and 2020. But we started, as you heard the news, we purchased the land already close to our Polish facility and also there are some capital needs. So we start to inject activity into the company. The other questions?
James Zaremba: One was just on working capital, which was very good this quarter and it seems part of that was to do with payables and just a general comment around that?
Peter Kameritsch: Yes. But also gross inventories, look on that. What we typically do, we buy spare parts for MRO divisions and typically your pay spare parts for example 30 or 60 day later. So we have an increase in inventories, but on the other side you have also an increased payables. So we have to look on that, kind of, in a combined way. Overall, as we said in our Capital Markets Day, the working capital we assume it to be more flattish in 2018, after two years where we saw strong increases here. And that is also part of the story where we are going to see a higher cash conversion in 2018.
James Zaremba: Sorry. I missed it earlier on in terms of the organic growth in U.S. dollar terms of the new engines, that part?
Peter Kameritsch: Low to mid single digits.
James Zaremba: Low to mid single.
Peter Kameritsch: Low to mid, yes, 3% to 4%.
James Zaremba: I am sorry. And the FX effects was negative or positive?
Peter Kameritsch: It was a slight positive in Q1 based on a far better hedged rate. I mean, the achieved rate in Q1 2017 was 1.19. The achieved rate in 2018 was 1.17. So we have something like a EUR10 million tailwind from FX.
James Zaremba: And so there is no negative translational impact in this part at this time?
Peter Kameritsch: No.
James Zaremba: Great. Thanks. Perfect. Thank you very much.
Operator: [Operator Instructions].